Operator: Good day, ladies and gentlemen and welcome to the Third Quarter 2020 Mettler-Toledo International Earnings Conference Call. My name is Jamaria, and I will be your audio coordinator for today. At this time, all participants' lines are in a listen-only mode. After the speaker’ presentation, there will be a question-and-answer session.  I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am. 
Mary Finnegan: Thank you, and good evening everyone. I'm Mary Finnegan. I'm responsible for Investor Relations at Mettler-Toledo and happy that you're joining us. I'm on the call today with, Olivier Filliol, our CEO; and Shawn Vadala, our Chief Financial Officer. Let me cover just a couple of financial or administrative matters. This call is being webcast and is available on our website. A copy of the press release and the presentation is also available on our website. Let me summarize the safe harbor language, which is outlined on page 2 of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, level of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our recent Form 10-K and other reports filed with the SEC from time to time. All of our forward-looking statements are qualified in their entirety by reference to the factors discussed under the captions Factors Affecting Our Future Operating Results and in the Business and Management Discussion and Analysis of Financial Condition and Results of Operations sections of our filings. Just one other item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and the differences between non-GAAP financial measures and the most directly comparable GAAP measure is provided in our Form 8-K. Let me now turn the call over to Olivier.
Olivier Filliol: Thank you, Mary. Good evening everyone. I hope this continues to find you safe and well. I'm calling in from Switzerland tonight, while Shawn and Mary are in Columbus, Ohio. I will start with a summary of the quarter and then Shawn will provide details on our financials. I will then add some additional comments, and we will open the lines for Q&A. The highlights for the quarter are on page 3 of the presentation. Local currency sales increased 6% in the third quarter, which was much better than we expected. Demand in our end markets continues to be negatively impacted by COVID-19. However, we had excellent growth in China and the performance of our Lab business was very strong. With our strong product portfolio and the innovative sales and marketing strategy, which we have successfully adapted through the challenges of the new environment, we believe we are gaining share. We have very strong growth in operating margins, due to the benefits of some of our temporary cost actions, as well as our ongoing margin and productivity initiatives.
Shawn Vadala: Thanks, Olivier, and hello everyone. Sales were $807.4 million in the quarter, an increase of 6% in local currency. On a U.S. dollar basis, sales increased 7%, as currency benefited sales growth by 1% in the quarter. On slide number 4, we show sales growth by region. Local currency sales increased 3% in the Americas, 4% in Europe, and 10% in Asia/Rest of World. China local currency sales increased 17% in the quarter. The next slide shows sales growth by region year-to-date. Local currency sales declined 1% in the Americas, 2% in Europe, and increased 1% in Asia/Rest of World. China local currency sales increased 5% on a year-to-date basis. On slide number 6, we outline local currency sales growth by product area. For the quarter, Laboratory sales increased 9%, Industrial increased 1%, with Core Industrial up 8%, and Product Inspection down 9%. Food Retail increased 5% in the quarter. One question I know you have is, how much benefit did we have from COVID tailwinds in the quarter. We estimate our local currency sales growth benefited between 1% and 2% in the third quarter from COVID.
Olivier Filliol: Thank you, Shawn. Let me start with some comments on our operating results. Our Lab business had outstanding growth in the quarter. Pipettes had excellent growth and benefited from COVID related activities. Process Analytics and automated chemistry also had very good growth, driven by the overall strength in biopharma trends. Most other product lines showed modest growth. Sales growth in all regions was strong. We expect the strong biopharma trends to continue to be favorable as we enter 2021 and believe the first half of the year will benefit from a vaccine research and testing as well as bioproduction scale-up and production. We spent a disproportionate amount of R&D and sales and marketing investments in Lab. And believe we are well positioned to capture growth. In terms of our Industrial business, Core Industrial was up 8%, driven by strong double-digit growth in China and slight decline in both, Europe and the Americas. China is benefiting from strong demand, across most product lines, in part due to pent-up demand. Overall, we are very pleased with the resiliency of our Core Industrial businesses in 2020, given the challenges of the end-market. Our outlook for this business is solid, as we expect to continue to identify pockets of growth. However, we are not immune to the overall economy. Product Inspection was down a little more than we expected in the quarter, with declines in all regions. In the near-term, market conditions continued to be challenging, as large packaged food companies are focused on COVID-related safety, in the manufacturing site and on operational execution. We are more optimistic for Q4 and are well positioned once packaged food companies return to a more normal operational mode and believe we will benefit from pent-up demand.
Mary Finnegan: Operator?
Operator:  Our first question will come from Vijay…
Mary Finnegan: Operator, hold on just one second. Olivier, are you still on the line? Operator, I think, Olivier was disconnected. Can you connect him?
Operator: Okay. One moment, please. Hi, is this Olivier? Hello, is this Olivier?
Mary Finnegan: Operator, we are on here, but should Olivier just dial-in again to the same number?
Operator: He is dialing in.
Olivier Filliol: Yes. Where did – you need to guide me. I don’t know…
Operator: Olivier, has rejoined us.
Mary Finnegan: Thank you.
Olivier Filliol: Okay. Yes, I am back. Apparently, I will be to update soon and just signaling me by video that I – where I stopped. So I will continue on and I will just finish instead talking about marketing initiative and I am coming here at this point. Digital sales and marketing tools are one component. We also use advanced data analytics and machine learning to identify thousands and thousands of customer sites that have potential sales opportunity. During this past year we also leveraged heat map of customer segments that helped us navigate COVID resilience and recovery. Internally these opportunities generate sales alert that we provide to our front-end organization. The alerts include insightful information such as product descriptions cross-selling opportunities, contact data, CRM activity, site pictures and specific value-selling guide for associated products and more. We have structured our front-end so that back office sales resources can qualify these sales alerts. They have knowledge of our customers and can determine if the computer-generated alerts have the expected potential and if so the ideal timing for customer interaction. This helps us guide our direct field sales force to the best opportunities and with all the necessary materials for an effective customer interaction. We also leverage our front-end via telesales reps to sell to smaller or less complicated accounts. The digital sales tools available to our field force are also fully available to our telesales teams thereby supporting their efforts to articulate the value of our products to customers. With the investments we have made in inside and telesales resources over the last several years our front-end is now structured. The field reps spend the majority of their time on non-customers or existing customers with strong cross-selling potential. The combination of our strong product portfolio, the innovations we have made to our sales and marketing tools and the investments we have made over several years to our front-end organization is leading to accelerated market share gains versus our direct competitors. There are still relatively small gains overall but they have allowed us to help offset the challenging market conditions of the COVID environment. The COVID challenges have helped us accelerate improvement not only in our sales techniques and approach but also in our margins and productivity initiatives. Our supply chain teams around the world had to overcome numerous obstacles this year including obtaining necessary protection supplies compensating for component shortages, orchestrating global safety stock, navigating freight capacity and adapting to changing trade restrictions. We were one of the first manufacturing facilities to have opened in China and we did not have a single day of shutdown in our western facility. At the same time the team continues to make progress on their Stern Drive initiatives which are focused on productivity improvements in our manufacturing and back-office operations. Globally more than 130 projects have been completed this year with 350 projects currently underway. That concludes our prepared comments. The current environment continues to be the most challenging and unique we have ever faced. We are executing very well and while much uncertainty still exist in our markets, I remain confident, we can continue to gain share regardless of economic conditions and are well positioned for solid results in 2020 and 2021. I want now to ask the operator to open the line for questions.
Operator:  Your first question will come from Vijay Kumar with Evercore ISI. Please proceed with your question.
Vijay Kumar: Hey, guys. Thanks for taking my question. Congrats on a really good print here. Olivier, maybe on the China comments, the 17% growth here, could you maybe help clarify what portion of that 17% was perhaps pent-up demand? And I think you guys mentioned one to two points of COVID tailwinds. Is the COVID tailwind the same as pent-up demand, or is that a separate item?
Olivier Filliol: Let me do the second part first, because that's easy to answer. No, it's not correlated with pent-up. The tailwind from COVID is mainly coming in tips business that we have with our Rainin and biotech businesses. They serve the testing markets, the COVID testing markets. So we got that tailwind as pent-up is not labeled that way. China -- to isolate the pent-up aspect of the China growth is not so easy to quantify. But, I think another way to look at our numbers in China is the year-to-date. As you will recall, in the early part of the year China had a significant decline and here we have seen a very good recovery in Q3. And in that sense, there is a significant aspect of that is pent-up demand. We see kind of a V-shaped recovery. But beyond that, I certainly feel we have won good market share gains here in China. The team has executed extremely well during the whole COVID crisis. We -- when there was a lockdown, our Chinese team continued to stay in contact with customers. We were very fast in bringing deliveries back and have certainly gained a lot of confidence with the customer base. And then, we had the whole go-to-market change in management that I described before in the prepared remarks. This is -- we did roll that out globally, but also particularly in China, and that has benefited us also in Q3. So, different aspects that drove very nice growth, but pent-up demand, was certainly one of them.
Vijay Kumar: That's helpful. And then now for my follow-up, I guess when you look at the 2021 preliminary outlook 4% to 6%. I'm curious are you assuming any share gains within that 4% to 6%? And perhaps comment on what's being assumed for the different segments.
Olivier Filliol: Yeah. So let me take the first part and then Shawn can take the second part. In terms of share gain, yes, we do count on share gains. But I -- our whole strategy is not for bold share gains but actually share gains every year a few basis points, because that adds up to something significant when we think about organic growth. We have experienced here maybe in the last two quarters was a bigger shift in share gains. I would hope that in next year we can still also have maybe a little bit an above average share gain but not in the same magnitude as we have seen in the last two quarters. Shawn, maybe to the second part of the question?
Shawn Vadala: Yes. Hey, Vijay. Let me start first with the product categories, and then I'll talk about the regions. So for 2021, we currently would expect the Lab business to be mid to high-single-digit growth. In the Industrial business, we're currently thinking the Product Inspection business will be about mid-single-digit growth with the Core Industrial business being more like low single-digit growth. And we expect Food Retailing to be more like low-single-digit growth. From a regional perspective, we would -- we're currently thinking that Europe will be more low to mid-single-digit growth while the Americas and China will be more like mid-single-digit growth. 
Vijay Kumar: Appreciate the comments, guys. Thank you.
Shawn Vadala: Thank you.
Operator: Your next question will come from Tycho Peterson with JPMorgan. Please proceed with your question.
Tycho Peterson: Hey, thanks. Actually Shawn, I want to pick up right where you left-off on Europe, being flat in the fourth quarter low to mid-single-digit next year. Obviously COVID cases going up a lot there. The Horizon's 2020 budget has been cut. What gives you kind of confidence in that market being relatively stable?
Shawn Vadala: Yeah. I mean hey, Tycho, I think our guidance right now is based upon -- we're assuming market conditions remain the same in terms of where we sit today. As we kind of think about COVID cases, of course, it's a very fluid situation. We're currently not experiencing anything in our business where customers are not allowing us on-site to do installations or we're not seeing it affect their behavior at this time. But of course, there's certainly risk with COVID and we certainly acknowledge that. But as you can kind of see too our guidance for the fourth quarter for Europe is flattish. So it's modestly a little bit down from where we were in the third quarter. And then for next year, again, we're thinking more like low to mid-single-digit growth.
Tycho Peterson: And then, Product Inspection, you mentioned that was a little bit worse than expected. You're talking about mid-single-digit growth there next year. So, are you getting leading indicators from your consumer, packaged goods customers and others that that demand will come back sooner rather than later?
Shawn Vadala: Yeah. I mean it's an interesting one. We certainly have conversations with customers that indicate that there's certainly an interest to do projects. But right now, we do see that a lot of customers are distracted with their own operational challenges at the moment, not -- in terms of having the time to really initiate new projects is something that we're still looking forward to. But nonetheless, we -- from a cadence perspective, we do feel like the fourth quarter will be better than Q3 and we certainly are more optimistic going into next year. And as you know, we feel very good about this business in terms of our overall competitive advantages and the general dynamics that drive growth in this business around topics like food safety and things like that. So, we're much more optimistic for the mid-term. It's just a little bit difficult to tell at exactly what time we'll start to see customers returning to more of an investment mode.
Tycho Peterson: And then lastly, for Olivier, there was a lot of talk on the call about market share gains, and that's great to see. I'm wondering if you could talk a little bit more about where those gains have been the greatest. Anything you can kind of quantify? And then, with the digital infrastructure now built out, how will they step up share gains going forward? Could they start to accelerate?
Olivier Filliol: Yes. Actually, quantifying it very difficult. Of course, we don't have particular market data from our direct competitors. We have some data points from our peers that give us a lot of comfort. I think it's more information that we get from our markets around the world. We see it also in terms of many new customers that we can gain. We have some KPIs that we use internally to monitor how much of our business comes from existing customers and how much comes from new customers, that all gives us these indications that we have been winning share. I would be really hard pressed to come up with a number. Also what I want to say is, we feel this is something we achieved across the world across businesses. And this is also very much driven by all these programs that I described that we apply really across everything. What we certainly also see the biggest benefit is in our direct business and our direct business has been also growing faster than for example the indirect business. That's probably another indication why these programs work really well. 
Tycho Peterson: Okay. Thank you.
Operator: Your next question will come from Derik De Bruin with Bank of America. Please proceed with your question.
Mike Ryskin: Hi. It's Mike Ryskin on for Derik. Thank you for taking the question. First I want to follow up on the guidance comments for 2021 both on the top line and on the adjusted EPS. Just curious as you obviously posted strong results in 3Q and you've got a mid-single-digit guide for 4Q when you go into next year you're going to be facing significantly easier comps in the first half of the year and your comp for all of the fiscal year '20 is going to be a little bit easier? So I'm just wondering is this more of a -- not a lot of visibility in the second half of the year? I know we walked through some of the geographies and the business segments. But just curious where you're seeing the puts and takes given what should be a very easy setup for first half 2021? 
Shawn Vadala: Yes. Mike I'll take this one. It's Shawn. Hey as you know we're -- we don't have a lot of backlog in our business. So we're only about 1.5 months of backlog at a time. So of course it's always a little bit challenging to put out our first guidance for next year. As we kind of look towards the year you're right, we will benefit from easier comparisons in the first half of the year. But then we look at topics like China in Q3 of next year and we'll have more difficult comparisons there. So overall I would say, we feel good about the business. We feel good about our execution. We feel good about our momentum. but it's always a little bit challenging to kind of -- to guide with some of the uncertainty out there. If I look at like maybe puts and takes I would say that China is always one that can be an upside or a downside. China we always like to say things can move -- can change rather quickly in China. And I think over the last nine months we'd certainly see things change in both directions very quickly there. So we're looking for upsides and downsides. I'd say, I point out and highlight China. I think another one that I would also highlight is Product Inspection. It's also a similar size of our total business. We feel very good about this business as I mentioned with Tycho's question. That's also a business that can have upside or downside based upon some of the dynamics that I described earlier. 
Mike Ryskin: Great. That's helpful. And then a quick follow-up along the same lines. If we sort of look at the P&L. if my math is right for 2021 obviously you're guiding to about 40 basis points of margin expansion give or take on the operating margin. So just trying to think through what changed in 2020 relative to your initial expectations? Is this just a lot of the costs that you pulled back on this year coming back, or is this additional incremental investments on top of what would normally happen just sort of looking at the '20 to 2021 move there? 
Shawn Vadala: Yes. So I think we'll probably do a little bit better than that Mike, but you're right it's going to be a little bit lower than our typical guidance of 70 to 100 basis point range which we still feel very good about from a medium term perspective. We also have to keep in mind that we're coming off of a strong year of operating profit margin growth in 2020 of 120 basis points. In terms of the program supporting our margin, we feel really good about the momentum that we have in terms of the pricing program as well as our Stern Drive program. But you're right one of the things that will be maybe a little bit of a headwind next year is the temporary nature of some of the cost savings measures that we had in 2020 that we now need to bring back into the cost structure for 2021. 
Mike Ryskin: Okay. Excellent. Thanks so much.
Shawn Vadala: Thanks.
Operator: Your next question will come from Brandon Couillard with Jefferies. Please proceed with your questions.
Brandon Couillard: Hey good afternoon. Shawn sticking with the 2021 outlook. Free cash flow guidance a little below 10%. Can you speak to any working capital needs for next year? And then what are you penciling in for CapEx? 
Shawn Vadala: Yes. Just one second Brandon. Let me pull it up here. So let me start with the second one. So for CapEx we have $103 million in our model for next year. So that's going to be up about $10 million from this year. We have some facility investments that we're going to be making in the first half of next year. Otherwise we feel good about our overall free cash flow growth next year. I think it's going to be kind of in line with our operating profit growth generally. There's always maybe timing topics from one year to another. But I think especially if you look at like the two years combined like this year and next year overall, we're very pleased with the growth. I mean you saw the cash flow generation that we had here in the third quarter and on a year-to-date basis really, really impressed with the execution in the organization on a lot of different management of cash initiatives and I feel like we'll continue to have that momentum as we kind of go into next year as well. 
Brandon Couillard: And then one more. Can you talk about what's embedded in terms of net pricing capture in 2021? And as we think about gross -- or margin expansion generally would that be leaned more on the gross margin side than OpEx given some of your comments about some of those cost items coming back into the P&L? 
Shawn Vadala: Yes. Sure. So in terms of our gross margin for next year right now like for this year right now we're we did just over 2% in terms of price realization for Q3 and I think we'll probably be at that kind of a level for 2020. As we look to 2021, we do have good momentum in the program but at the same time we're looking at a lower inflationary environment. So at this point in time we're right now thinking that we'd be more like in the 1.5% kind of a range for next year for price realization. And then if we kind of like look at the overall gross margin expansion next year probably something in the 30 kind of basis point kind of a range that would exclude maybe a little bit of unfavorable effect of currency. One of the things that we have as a headwind also to our gross margin next year is going to be some of these temporary cost savings that we talked about that come back that will also be a little bit of a headwind in terms of our gross margin expansion next year as well. 
Brandon Couillard: Very good. Thank you.
Operator: Your next question will come from Patrick Donnelly with Citi. Please proceed with your question.
Unidentified Analyst: This is Jesse on for Patrick. Just wanted to touch on the 1% to 2% of COVID-related tailwinds. Wondering if you could break that down a little bit further between the areas you laid out between testing and vaccine research and bioprocessing? And then just curious what's implied there for 4Q 2020 and 2021 guidance?
Olivier Filliol: So as mentioned it is related to the tips business and pipettes. It's related to testing kits or for testing centers where pipettes and the tips are used. That's the part that we call tailwind because, obviously, this is tied to the number of tests being conducted and the tips demand associated with that. This can have a very high volatility in demand and we see actually that volatility also following the waves and different regions. So the 1% to 2% was for Q3. For Q4, we would expect more like 1%. And when we think about next year, we could still see some tailwinds at the beginning of the year and depending how COVID evolves it would start to diminish and then we would start to have some headwinds from a comparative standpoint. 
Unidentified Analyst: Okay. And then just looking back at the earlier days the pandemic in relation to China saw a pretty strong drop-off in 1Q, but strong recovery in 2Q and 3Q. So as we look ahead would we expect kind of a similar dynamic if there is -- the country was to shutdown kind of due to the resurgence of cove cases, or do you think kind of with this new go-to-market strategy you can see more resiliency within China even if we do see quite a big resurgence of COVID this quarter and into 2021? 
Shawn Vadala: Yes. I think what changed is every country learns to deal with COVID in a more differentiated way. I see that I experienced that myself being based in Switzerland and Europe, the second wave has a totally different impact on the business world. And it is because governments react differently, but of course also because business and individual people react differently to that. We are so much more knowledgeable about things. We have today face masks that protect us and so on. And so the B2B world that we are living in is not impacted as much anymore. I see also the reaction of all the -- our customers to be much more controlled in that we have semi-lockdowns for example in Europe right now we don't see it in the same way in order entry leads generation and so on. And the second factor is what you just also mentioned that we have already adjusted our go-to-market approaches. And in that sense I do expect a much smaller impact on our business from any second wave that are -- is taking place right now. 
Unidentified Analyst: Okay. Great. Thank you.
Operator: Your next question will come from Jack Meehan with Nephron Research. Please proceed with your question.
Jack Meehan: Thanks. Good afternoon. I was hoping you could tease out for us just how much of the sales in the quarter you think might have benefited from some, sort of, catch-up from earlier in the year? And are there any dynamics looking at sort of the three businesses you should just be keeping in mind going into the fourth quarter that catch-up might impact? 
Shawn Vadala: Yes. Hey, Jack, this is Shawn. Hey, of course, it's always difficult to try to know or to quantify that. I think the one region that certainly stood out the most from our perspective was China in terms of catch-up and as we talked about we definitely see more of a V-shaped recovery in China compared to maybe some of the other regions. In terms of some of the other geographies it's a little bit more difficult to say. Was there a little bit of catch-up in Europe? Maybe -- but very difficult to say. But I think I'd maybe just then kind of pivot towards how we're currently seeing the fourth quarter in terms of guidance and those types of factors would have been considerations for us as we kind of provided our guidance for the fourth quarter. 
Jack Meehan: Great. And then wanted to follow up on R&D investment. Just a clarification. I think I heard 5% of sales, but I wasn't sure if that was for the full year or for the fourth quarter. And regardless I think you're calling for a nice step-up going into the fourth quarter. Just maybe talk about where you're finding new projects. And do you think you'll continue to invest at these probably more normalized rates in 2021? 
Olivier Filliol: So the 5% is more for the full year. And the 5% is actually a good number for also mid-term. We always have a little bit of a fluctuation from quarter-to-quarter. But, yes, when you think about it -- when it's independent of product launches or particular events then the 5% applies. The reason why you saw this summer a bit of a slowdown in the spending was on one hand the timing of projects including also product launches and some of the temporary cost measures that we had including also curtail by the furloughs in Europe had also some impact on the R&D spending. And in that sense, yes, Q4 will resume more normal level maybe even a little bit higher level of R&D spending. 
Operator: Your next question will come from Richard Eastman with Baird. Please proceed with your question.
Richard Eastman: Yes. Thank you, and thanks for the question. Olivier when you look at the -- or Shawn the Core Industrial business was up 8% in the quarter. And I may have caught that you said Americas and Europe was down modestly. So was the growth -- was that the case? And was the growth of 8% pretty much derived from China? 
Shawn Vadala: Yes. 
Olivier Filliol: Yes, it was. Very much. So China was very strong.
Richard Eastman: Okay.
Olivier Filliol: Also related to this pent-up demand effect that we were talking about before and then the overall strong momentum that we see in our Chinese business. And then you might also recall that the Core Industrial in China has a little bit of higher percentage of the business mix than the rest of the world. So, in that sense, a double effect. 
Richard Eastman: Yes. And given there's a cyclical element obviously, COVID would have impacted the business there as well just access I guess if nothing else. But if you think about the cyclical aspect of core industrial in the Americas and Europe, how does it feel? If you sift through COVID, does it feel like that business is maybe bottoming when you think about capital budgets and expenditures on Core Industrial in the two bigger geographies there?
Olivier Filliol: So, if you would have asked me two quarters ago or even one quarter ago, I would have thought that Core Industrial would be impacted more by COVID and the recession. I mean in that sense pleasantly surprised. And I certainly explained it on one hand that the global economy recovered faster than we expected. But the second one also is we were very successful in shifting our resources to the more resilient industries. And the more resilient industries for example being biopharma hold up very nicely and we certainly feel we could gain share there also with our Core Industrial business. So, yes, I'm happy to see that it's less cyclical than we would have expected and shows that we have also good execution on it. There are individual segments like we call it the MPE market, materials plastic and electronics market that is clearly down and suffering from the economic environment.
Richard Eastman: And you -- when you talked about earlier in your presentation Olivier, when you talked about the digital marketing tools, do these -- does that account for some of this more resilient -- I mean is that part of how you shift your resources? Do you deploy those on the Core Industrial side as well?
Olivier Filliol: Yes absolutely. We really deploy it everywhere. And I think there is a multitude of tools that are helping. So, one hand we do the segment analysis and heat map that show us which account sites have the most potential and we guide our salesforce go after these opportunities. And then we use the digital tools sales tools virtual sales tools on top of that so that for example our salespeople also for Industrial business would engage customers not only by physical visits, but more and more by video calls by online webinars that are dedicated to accounts. We have a digital library and all that. All these topics apply across the business including Core Industrial.
Richard Eastman: I see. Okay, very good. Thank you.
Operator: Your next question will come from Steve Willoughby with Cleveland Research. Please proceed with your question.
Steve Willoughby: Hi, good evening. Two questions for you. Just wondering if you could break out -- you commented that consumables and services was up 6% in the quarter. If I remember correctly, I believe service was down year-over-year in the second quarter. Just wondering if you could give any -- a little bit more color between consumables and service. I guess along with that too where do you stand in terms of being able to meet demand for pipettes these days? Are you building backlog at all given the increased demand in pipettes any CapEx you need to do? And then my second question or topic is Mary looks like you're stepping up the share repurchases in the fourth quarter versus what you were expecting 90 days ago. How much in share repurchase activity is implied within the guidance you gave?
Olivier Filliol: Good. Shawn do you want to take the first one, I take the second one, and Mary the third one?
Steve Willoughby: Perfect. I got everybody.
Shawn Vadala: Okay. Good. Hey Steve so on the first one I want to also clarify in the script, we realized that the 6% should be on a year-to-date basis for service and consumables. So, in the quarter service and consumables were actually up by 12% and that included about 4% growth in the core service business with very strong double-digit growth in our consumables business.
Steve Willoughby: Got you.
Olivier Filliol: So, on the second one, the pipettes themselves are less of a capacity constraint issue. It's more the tips. And on the tips side you have capacity problem in the whole industry so not just that. We are in a reasonable situation because we have three production facilities. We have one in Mexico, we have one in California, and we have one in China. They are all running at full theme and of course we leverage the three different facilities for the global supply not just for local supply. We have been successful in increasing the capacity over the last few months and will continue to further expand capacity. There are different levers that we have. We feel good about it. And we certainly feel that this capacity increase will also allow us to further gain share. The demand is certainly here and I think we are in a good position to be faster to orders in terms of raising the capacity. This includes also a bigger facility expansion or new facility that will go live next summer. But our whole focus is actually to expand capacity already here in the next couple of weeks and certainly also into the first quarter. Mary, you take number three?
Mary Finnegan: Sure. So, in terms of share repurchase as Shawn mentioned on the call we want to keep our net debt to EBITDA in this 1.5 times range. And so of course, the actual amount we do next year will depend a little bit on your assumption in terms of EBITDA and cash flow. If I just look at the midpoint of our range, we would be repurchasing somewhere around $850 million level. And of course, it could be a little higher, a little lower, just depending on how things play out.
Steve Willoughby: Okay. Thank you very much.
Operator: Your next question will come from Dan Arias with Stifel. Please proceed with your question.
Dan Arias: Good afternoon guys. Thank you. Olivier maybe just packing around the edges and sticking with the market share gain conversation. Obviously, that's easier to do in some places than others. So, I guess, I'm just curious on the segments or areas of the market where you found it to actually be more difficult to take share. What is it about the competitive offerings that's allowed them to kind of hold share more than others? Is it customer loyalty price? What are the factors that are hardest to overcome that you're finding? 
Olivier Filliol: It's certainly in the air that we have talked about also in the past and that's retail. In Food Retail, our Spinnaker approaches, our sales and marketing approaches have not the same benefit. In retail, we clearly see that we have a highly competitive market because it's more difficult to do value-selling to differentiate in front of the customers. The projects are typically also bigger. So that's certainly an area where we are not focused on market share gains, but actually on profitability.  The second differentiation I could make is direct or indirect channels. Wherever we go direct channels these approaches play much better to our benefit. We are introducing Spinnaker and applying Spinnaker approaches also to indirect channels. But you can imagine, we don't have the same impact and we can't implement all the tools in the same way. So that's probably the way, I would mostly differentiate.  From a geographic standpoint, I don't -- wouldn't differentiate. And for the core business outside of retail and if it's not a particularly big project or so all of what we do here is applicable and would help us on the share gains. 
Dan Arias: Yes. Okay. That's great color. Maybe just operationally, are you guys through the SAP implementation within Product Inspection? And then on Blue Ocean when you think about where or how you finish the year there, what percentage of users do you think are fully under the umbrella of Blue Ocean by that point? 
Olivier Filliol: So indeed we had the last implementation in Product Inspection going live in Q3 in Tampa. This was the most demanding and the most complicated facility and operation to go into Blue Ocean go live. And you can imagine it was even more difficult to do that under COVID, very difficult people being in home, offices, international teams not easily being traveling. Given all these challenges, we are happy with how things went. It nevertheless had some impact on our Q3 numbers as Shawn highlighted before and we still have some more work to do in terms of -- every implementation of Blue Ocean has been a challenge.  Also after the go-live, there is always challenges in workflows that need to be optimized. It still has material data that needs to be optimized and so on. We are still going through these. But I do expect that in the next couple of weeks we will have full stabilization and then we'll start to have the benefit like we have seen in all other units including the Europe PI unit. I want to recall that a few years ago, we went live with Garvens and Blue Ocean, the checkweighing business that initially was very difficult. And today this checkweighing business is so much benefiting from the Blue Ocean implementation in terms of material cost savings, operational efficiency. I do expect that these things will also come to Tampa. But right now, we are still kind of streamlining things that we have to implement.  And Shawn, do you want to talk about the second point? 
Shawn Vadala : Yes. So we -- most of the units remaining are I would say smaller units in the company. But we have a handful of smaller units in Europe still to go as well as in Asia/Rest of World. The largest unit that we would have would be our French market organization which will go live in a couple of years. In terms of the overall users, I'd probably estimate it's in the 80% kind of a range, that are currently on the system. 
Olivier Filliol: All major producing organizations are now on Blue Ocean. That was the key part missing with Tampa and that's also one of the reasons why the majority of the benefits that we can get out of Blue Ocean are now in operational mode. 
Dan Arias: Yes. Very good, guys. Thanks a ton.
Operator: And we do have one final question in queue and that will come from Dan Leonard with Wells Fargo. Please proceed with your question.
Dan Leonard: Thank you. So for starters, could you be specific on the growth in China between Lab and Industrial? If you disclosed that earlier I missed it. 
Shawn Vadala : Yes. We had high single-digit growth in both of those areas, Dan. I mean, I'm sorry not high single -- I'm sorry double-digit growth. I apologize. We have double-digit growth in both the areas in both Laboratory and Industrial in China in the third quarter.
Dan Leonard: And safe to assume Lab was above 20%?
Shawn Vadala: No. Actually our Industrial business was stronger than our Laboratory business in the third quarter, which is kind of supports our comments on why we thought like there was pent-up demand on the industrial side.
Dan Leonard: Got it. And then my follow-up. Shawn, can you help me think about how you're framing any year-end uncertainty in your fourth quarter guide? Is it fair to assume that your 4% to 5% local currency assumption reflects a better result than that during the month of October with more caution around December, or are you assuming more linearity in your performance?
Shawn Vadala: Yes. I think it's always difficult to try to comment on any particular month. I mean, there's obviously prior year comparisons that can come into play here, but I would just say that hey we feel very good about our guidance. We feel good about how we entered the quarter. Of course, we had the benefit of seeing the month of October when we provided our guidance, and we don't have any -- we didn't factor in anything particular from an uncertainty perspective other than that we acknowledge that there is uncertainty in the market and things can always change quickly.
Dan Leonard: Great. Thank you. Have a good night.
Shawn Vadala: Thank you.
Operator: We do have one other question that just came into the queue and that is from Dan Brennan with UBS. Please proceed with your question.
Dan Brennan: Hey, guys. Sorry about that. I guess, we just didn't queue in appropriately. So thanks for the question. And congrats on the quarter. Maybe just two questions Olivier or Shawn. So the guide for 2021 and I don't think this is covered, but like the core growth at low single just seems really potentially conservative. I know you're assuming that the world is still kind of -- we're not there yet with COVID, but nonetheless given what you just posted this quarter. And then also for China I know there were some questions earlier, but just maybe give us a little flavor for those two particular guides kind of what goes behind that? Are you assuming maybe things get a little worse from here and that's what's baked in?
Shawn Vadala: Yeah. No. Hey, Dan I'll take the question. This is Shawn. So on the Core Industrial side, as Olivier mentioned, before we're really pleased with the resilience of the Industrial division recently and actually for the past couple of years. So we feel very good about the execution there. We feel really good about our ability to target the more attractive faster-growing more resilient segments of the market, but nonetheless we're not immune to the economy. And so when we look historically, we do have that in the back of our minds that this business historically is the more susceptible to the global economy. And that -- and so that's a little bit on our mind with the low single-digit growth. And then maybe the second thing is that, we just had extremely strong growth in China and Industrial as we just mentioned a few minutes ago. And so we're going to have a much more difficult comparison in China when it comes to the Industrial business next year. And as we mentioned earlier China is a disproportional percentage of the mix for that business compared to our other businesses. And then I think the second part of your question was China for next year, or was it…
Dan Brennan: Yes. I know you covered it several times, but could you just maybe in closing just give us a flavor for kind of what's happening now? I think there was a question earlier about was there any kind of catch-up. I think maybe Jack asked it. So just to be clear did China benefit from a catch-up this quarter? And if not the 5% next year is really just conservatism or the comp, or just any color there. Thank you.
Shawn Vadala: Yeah. So just to clarify in the third quarter China was up 17%. We had double-digit growth both in the Laboratory business and the Industrial business with stronger growth in our Industrial business. We did feel like there was a pent-up demand in China in the quarter. I mean, if you kind of look at the sequential quarters starting with Q3 being down 13% in China, it's very much of a V-shaped type recovery. We feel like the team is doing well. We feel like we're executing extremely well. All the digital marketing approaches that Olivier mentioned earlier also benefit in China. We feel like we're gaining a little bit of market share there. So we feel very good about our execution. Of course, we also feel very good about the growth prospects of China kind of going forward especially from a medium to longer-term perspective, especially with trends in biopharma and things like that. As we think about 2021, I always like to say, in China things can always change very quickly. And so -- and we saw examples of that going in both directions already in the last nine months. So we're always a little bit cautious in that regard when we try to forecast in China. But currently sitting here today, we feel like mid single-digit we feel good about that. Could it be higher? Could it be lower? We'll see. We tend to think that the Laboratory business will be stronger in terms of growth for 2021, compared to 2020, compared to our Industrial business. And a lot of that is just coming off this very strong quarter on the Industrial side in Q3 and just kind of acknowledging that we're going to have a harder comparison in the second half of next year. I think we're going to start the first half of the year very strong in China. They'll have a much easier comparison in Q1. It's really about the second half of next year.
Dan Brennan: Great. Thanks, Shawn.
Shawn Vadala: You’re welcome.
Operator: And at this time, we have no further questions in queue. I will now turn it back over to the panel for closing remarks.
Mary Finnegan: Thank you, and thanks everyone for joining us this evening. As always, if you have any questions, please don't hesitate to reach out. Take care. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.